Operator: Good day. And thank you for standing by. Welcome to the Clearway Energy Inc. First Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Christopher Sotos, President and Chief Executive Officer. Please go ahead.
Christopher Sotos: Good morning. Let me first thank you for taking the time to join today's call. Joining me this morning is Chad Plotkin, our Chief Financial Officer; and Craig Cornelius, President and CEO of Clearway Energy Group. Craig will be available for the Q&A portion of our presentation. Before we begin, I'd like to quickly note that today's discussion will contain forward-looking statements, which are based on assumptions that we believe to be reasonable as of this date. Actual results may differ materially. Please review the Safe Harbor in today's presentation, as well as the risk factors in our SEC filings. In addition, we will refer to both GAAP and non-GAAP financial measures. For information regarding our non-GAAP financial measures and reconciliations to the most directly comparable GAAP measures, please refer to today’s presentation. Turning to page 4, financially, Clearway's reporting first quarter CAFD of negative $15 million, including the negative impacts from the February weather event in Texas, and acceleration of accrued interest due to the refinancing of the 2025 senior notes. These negative effects were significantly offset by the strong performance at our West Coast renewable projects demonstrating the benefits of a scalable and diversified portfolio. As a result, we are maintaining our guidance at $325 million those guided on our call in February. As indicated previously, during the quarter, we were able to refinance our $600 million 2025 senior notes with a $925 million new green bond due in 2031 at a very attractive 3.75% interest rate. This issuance was used to refinance the 2025 bonds, repay our revolver borrowings with permanent capital and drove corporate purposes. All while saving Clearway approximately $10 million in interest costs. Clearway has announced an increase in dividends by 1.5% to $0.329 per share for the second quarter of 2021. This is on track for DPS growth at the upper end of our 5% to 8% long term target for 2021. As one of our key strategic goals this year, I'm happy to announce more than two years prior to the expiration of the current tolling contracts in the middle of 2023, a new seven and a half year resource adequacy contract, with established load serving entities for 100 megawatts at Marsh Landing. Not only is this an important – important first step in mitigating future merchant exposure, but the pricing we were able to achieve while subject to confidentiality is sufficient to maintain the current CAFD profile of Marsh Landing, if we were able to secure similar economics on the remaining capacity of the plant. It is important to recall that our gas plants will be materially debt free at the expiration of existing contracts. We still have a long way to go. I want to reiterate, this is a strong step more than two years ahead of the expiry of these contracts, at a constructive tenor in pricing, and reinforces the strong position that our debts as is occupying. Our assets are some of the newest and most efficient in California. They're strategically located inside of major load pockets. Most importantly, they all have quick-start and fast ramping capabilities, all in California to adjust for liabilities needs related to its renewable energy goals. These attributes make Clearway gas asses, a critical part of California's overall supply stack, as was demonstrated last summer. During the quarter, we continue to execute advanced renewable growth at Clearway. We close the acquisition of the 264 megawatt milestone project, which is situated near our Pinnacle and Black Rock assets, allowing for your way to effectively provide one hand services to these three sites. In a competitive market efficiency is a key advantage and our ability to build-out platforms in certain geographic locations. While achieving operational efficiencies is critical to our success. We continue to work with our sponsor, Clearway Group on co-investing a new partnership expected to be between 1.1 gigawatts or 1.7 gigawatts, which will further diversify Clearway Energy and provide additional CAFD certainty with a weighted average contract tenor of approximately 14 years. In addition Clearway Group is continuing to grow its development efforts and we expect this current 10 gigawatt pipeline to grow meaningfully in the second half of 2021. Finally, as we'll discuss in more detail in the next slide, Clearways increasing its pro forma CAFD per share outlook to $1.85 per share, which now supports our EPS growth objectives through 2023. Turning to page five and provide more color to our pro forma CAFD and dividend per share outlook. Given investments in growth that we have made as well as the recently completed refinancing discussed, we are now increasing our pro forma CAFD outlook to $1.85 a share. If we assume that the CAFD profile of our assets remains constant, we can increase our dividend within our long-term 5% to 8% growth rate through the end of 2023. We recognize that merchant exposure in California, resulting from the natural gas assets reaching contract maturity in 2023 as uncertainty, the current CAFD per share trajectory provides for flexibility to mitigate this uncertainty. Specifically, the company has cushioned against the reduction in CAFD per share of approximately $0.10, while maintaining the ability to achieve our long-term DPS growth targets through this period of time. For example, at $1.75 of CAFD per share, and 85% payout ratio, Clearway Energy to pay a dividend per share of $1.49, which should fall in line with the low end of our long-term dividend growth objectives of 5% to 8%. In addition, please note that the $1.85 pro forma CAFD outlook does not include any further investments by Clearway and additional drop downs for third-party M&A. So, in summary, the company continues to execute, adding visibility around future growth and CAFD and dividend per share, as well as to increase the certainty around that growth trajectory. With that, I'll hand the presentation over to Chad. Chad?
Chad Plotkin: Thank you, Chris and turning to slide seven. Today Clearway is reporting first quarter adjusted EBITDA of $198 million in cash available for distribution or CAFD of negative $15 million. Though these results came in below our expectations, we view overall financial performance favorably as excellent production at our renewable portfolio on the West Coast and higher distributions from unconsolidated investments provided a substantial offset to the financial impact from the February winter event in Texas. On the positive front, the prevailing winter weather in the quarter that impacted wind production in Texas in the Midwest, had the effect of creating favorable renewable energy conditions in California, where production of the Alta wind project was up over 30% relative to expectations. Similarly, these same conditions lead to above expectation performance for the West Coast based utility scale solar projects. On the negative side, and as previously disclosed, the company had estimated the full year cash impact from the February winter event in Texas to be in the $20 million to $30 million range. Today, we are narrowing that range to $25 million to $30 million as in the first quarter, we realized an approximate $25 million impact to CAFD, which due to amounts attributed to third-party equity investors, resulted in an approximate $50 million impact to adjusted EBITDA given the effect on fully consolidated revenue. While there continues to be ongoing discussions in Texas on the long-term implications of the February event, we do believe the material impact to the company has passed. That said, and based on our best available information, we continue to plan for some potential additional cash exposure, which is what informs the narrow range currently noted on the slide. Further impacting quarterly results was a timing dynamic relating to the successful issuance of the green bond, due 2031 and the repayment of the outstanding 2025 senior notes. Specifically, the timing of when cash interest payments were made changed, as roughly $14 million in accrued cash interest expense that would normally have been paid in the second quarter was accelerated into the first quarter. Because of this change in the timing of corporate interest payments, and to improve visibility into quarterly expectations, we pro forma adjusted the normal seasonality disclosure in the appendix section of our earnings material to account for this modification. Please refer to Slide 14 of this presentation for this update. In referring to this updated disclosure, I would remind you that the first quarter is generally a seasonally low part of the year, as most of the companies CAFD is generated in the second and third quarter. That said, and to put some perspective on quarterly performance, if we excluded the approximate $25 million reduction to first quarter CAFD from the February, Texas winter event, realized CAFD in the quarter would have been favorable to the modified pro forma first quarter expectations. As noted in the last quarterly call, we indicated that the effect of the February event in Texas was essentially offset by the respective full year contribution from the closing of a 35% interest in Agua Caliente. So we did not raise CAFD guidance at that time to account for the growth investment. Today, we are again maintaining full year CAFD guidance at $325 million, which continues to be based on the achievement of P50 median renewable energy production for the full year. But we do know that given the pro forma adjustment to our seasonality expectations and since we view the financial effect of the Texas event as outside of the scope of our normal sensitivity range, the company is currently trending favorably to our consolidated P50 financial outlook for the full year. With that, I'll turn the call back to Chris for his closing remarks.
Christopher Sotos: Thanks, Chad. Turning to Page 9, we are focused on our goals for 2021. Despite the shortfall through the difficult Texas winter weather event in February, we are maintaining our guidance of $325 million of CAFD for 2021. Our scalable and diversified portfolio, particularly our west coast renewable portfolio performed well in the first quarter mitigating significant amount of the Texas impact. In addition, we remain on track to achieve the upper end of our DPS growth rate of 5% to 8% through 2021. As a result of our continued growth investments, through drop downs, and third-party M&A, as well as refinancing activities, we have increased our pro forma CAFD outlook per share to $1.85, which provides a strong runway toward achieving our 5% to 8% dividend per share growth through 2023. We continue to work to increase this pro forma CAFD outlook. And working with our sponsor, additional co-investment opportunities, we expect to see new transaction signed by the end of the year. Finally, we're working to enhance the value of our California Natural Gas Portfolio. We have closed on our first 100 megawatt contract more than two years out from the current contract expiration, and attractive tenor and price point. Well, we have a long way to go. I reiterate the value proposition that our gas assets in the region provide. And I anticipate that we will continue to make progress in this position over the next few years. Thank you. Operator, open lines for questions, please.
Operator: [Operator Instructions] Our first question comes from the line of Angie Storozynski with Seaport Global
Angie Storozynski: Good morning, guys.
Christopher Sotos: Good morning.
Angie Storozynski: So congratulations on the on the Resource Adequacy contract. That's, you know, again, you didn't provide much of outsized returns are concerned. But again, the fact that CAFD is being maintained, this is really big. So -- and again, as you said, there's more work to come. Is there any sense of the timing for the remainder of the capacity when we could be expecting those RA contracts to be signed or renewed?
Christopher Sotos: Ultimately, because of cadence. Angie, I think from our view, the reason we started early is to make sure we have flexibility down negotiations to really try to optimize and be disciplined on price. So I don't want to say, oh, we're going to have them all done by a spirit of time. Because I think as I've indicated on other calls, it's going to take a while and it's going to be a variety of different counterparties. So there's not a specific date by, which we say, well, we're going to have a position or not. We are, as I stated two years out from that period of time. So we're going to continue working on it and continue making progress, but it will take some time to be fair to your question.
Angie Storozynski: Okay. My second question is for Chad, I'm not sure I understood the comments about performance against your unchanged CAFD guidance. So the CAFD guidance still incorporates the Texas hit, right? So even though you're still at peace with CAFD performance of all of the renewable assets for the entire year, it does incorporate the hit, right? So even with the Texas hit, you're still trading, trending well versus that's CAFD guidance?
Chad Plotkin: Yeah. So I think the way I would think about it is Texas, the issues in Texas we had, which bear in mind, part of why we don't think about it relative to how we normally think about our variability in the year was really because of the price excursion that happened with hitting the cap. But that being said, the way I look at it is our pay offset it. So basically, obviously, we have a timing shift in interest. So upside in the base portfolio that may have existed before those two events would lead to us trending better than $325 million, so hopefully that eases it. Said another way, the strong performance we had out in the West Coast has us in a favorable position, at least through the first quarter. Assuming we operate at P50 for the remaining three quarters, you would technically be ahead of your $325 million.
Angie Storozynski: Yes, great. That's what I wanted to make you up. Okay, thank you. Good day.
Chad Plotkin: Sure.
Operator: Your next question comes from the line of Colton Bean with Tudor, Pickering, Holt & Co.
Colton Bean: Good morning. So just to follow-up there on Angie's question around the March lending RA agreement, is there any background you can offer on how that came together? And maybe how you would characterize the counterparty associated with that?
Christopher Sotos: Sure. This is the fix compensability. So this would be your question. There's probably not a lot I can talk about, but we have an ongoing origination efforts in California to manage our position in 2023.So we talked to a number of counterparties. We look at RA processes that may be coming in the future between PG&E and SAE, and we're very active in the market and looking to add position over time. So I think this is something that, as I've talked about over the years, a lot of people would go, typically three years ahead of time to talk about looking at hedges. And I think, two years is about the timeframe they've indicated, and we're along the lines of -- yeah, that we've talked about over the years. From our view in terms of some color that I can give you, it's a larger load serving entity in the region, expectation is the investment grade rated. And that spring -- yeah, one thing I want to make sure I stay within the confines of the confidentiality agreement, but definitely some color, I could give you on it.
Colton Bean: Got it. Understood. And then some commentary on Clearway Group pipeline extending in the back half of the year, is that an expansion in aggregate, or is that moving more projects to the construction in an advanced bucket?
Christopher Sotos: Hey, Craig, why don't you take that one?
Craig Cornelius : Sure. Yes. Both is the answer to the question. So what we reported was the state of the pipeline as of the end of the quarter. We've been busy this year. We've been busy across the country, the west, central and eastern regions. The vintages that we're developing and planning extend from the period through 2024 on which we provide disclosure, and also vintages past 2024 that will underpin dividend per share growth well into the decade. And we expect that you'll see evidence of that development work, which should give us some confidence about our ability to sustain growth for the company for quite some time, as well as our advancement of projects that would be able to commence construction late this year or in early next for the 2023 and 2024 vintages. We've looked to shape that pipeline to match up in particular with the capital allocation plans and growth plans of Clearway Energy, Inc. and are feeling constructive about our ability to facilitate substantial project completion volumes over the course of the next three years that that will hopefully support a constructive outlook for sustained growth.
Colton Bean: Great. Appreciate the time.
Operator: Your next question comes from line of Colin Rusch with Oppenheimer.
Colin Rusch: Thanks so much guys. Can you talk a little bit about the growth in the energy storage pipeline, it looks like that had a pretty substantial volume here in the quarter and how that's trending relative to the existing products you have or some of the products you have in the pipeline?
Christopher Sotos: Craig, is he online?
Craig Cornelius : Sure. Yes. The growth within storage, Colin, includes both planning for hybridization of existing operating assets that we have in the fleet, as well as new development and construction planning for new paired resources that would include both solar and storage. And we have in some instances started to plan for standalone storage, where the market structures allow for us to put in place long-term revenue contracts, that would be consistent with the type of investment profile, we look for Clearway Energy, Inc. to make so. So it's both standalone and paired resources. And on the third front, planning for integration of storage with existing operating facilities within Clearway Energy, Inc. as well as new construction projects. In general at this point, if we're looking out over the course of the next three years, it appears that you could expect most of those resources to be in the west, not strictly in California any longer. The prospect for storage attachment in the east is still something that is evolving. But as we look through the latter part of the decade, really everything that we're putting in for early stage development includes potential options for battery integration.
Colin Rusch: That's super helpful. And then, I guess, the second thing is really around counterparties. We're seeing massive commitments being made to get to net zero, by many, many corporations. And I'm wondering if there's an evolution in terms of your ability to sign bilateral agreements with corporates rather than just with large utilities. And if that's changing some of the pricing dynamics and spread that you guys are able to capture in that development pipeline.
Christopher Sotos: For what it's worth, the CDC team has been able to sign with corporates to-date and that you’ve probably seen that shift a little bit in the Lighthouse transaction that has some corporates as part of it. Now, Craig, if there's any additional color, that's further changed since -- the Biden print as post governance [ph].
Craig Cornelius: Yeah. Yeah. I mean, I think origination of contracts with commercial-industrial companies is something that's been a real focal point for us over, I'd say, the last five years Colin. And over the 5.8 gigawatt late stage pipeline that we've disclosed, commercial-industrial companies are customers already or are expected to be for a meaningful fraction of that pipeline. And that also includes in states, where, historically they've made -- they've been less of a direct wholesale market participant, for example, in California. With that said, we are pretty bullish, also about continuing to expand our customer base of regulated utilities, who've been a mainstay for us, as well, in particular, in the West and Pacific Northwest, where we've grown our pipeline materially to nearly three gigawatts worth of projects and we like those customers also, because they are able to sign contracts for very long tenders still. And with settlement structures that that we like. So I think as we go forward, yeah, we expect to continue to grow our pipeline, with a balance of both commercial-industrial customers, with whom we've built a good track record of servicing demand, but also with the utilities that have been great customers for us already. And we'll be able to sign up for longer contract tenders that allow us to create a balanced profile like the one that Chris described for the 1.1 to 1.7 gigawatt portfolio that we have in development.
Colin Rusch: All right. Thanks so much guys.
Operator: [Operator Instructions] The next question comes online of Michael Lapides with Goldman Sachs.
Michael Lapides: Hey, guys. My questions are probably chat oriented here. Just curious, the green bond lowers long term interest costs relative to the debt you took out, when you look at the capital structure, do you see significant opportunities for other refinancings that could make a material impact on long term interest expense?
Chad Plotkin: Yeah, Michael, I think, one, I think the opportunity at the corporate level is somewhat limited, because when we refinanced the 25 notes, that was the shortest maturity we had in the capital stack. So I think at the corporate level side, we've -- I think we're kind of optimized. I think, at the project level side, I think, Michael, we are always looking -- I think the way Chris and I have defined it over the past few years, we're always mining at the project level to see what opportunities they have. I think there's always going to be some items that pop up. But from the materiality perspective, I'm not so sure that I would sit there and count on that per se, to sort of add some additional improvement there, but we will always people looking.
Michael Lapides: Got it. Thanks, Chad. One other item, really, for the whole team? How are you -- I mean, given the recent move over the last couple of months in all renewable related stocks or equities, including errors? How are you thinking about your cost of equity? And the how that impacts future financings of either, acquisitions from third parties or dropdowns from your sponsor? 
Chad Plotkin: Yeah, I think Michael is still a very constructive level. I think we've talked about over the years and since May of 2016 when I took this role, actually it's a pretty good number for where we sit. But I think, if you take the $1.85 let's say CAFD yield for sure, divided by about 27.8. You get about, you know, a mid 6s CAFD yield, once again, if you want to use that as a proxy for whack a pound dizzy, apples to apples, but there's still a very constructive equity CAFD yield. And so I think a long way of saying is, we still see it, well behind no question ask, which will be viewed as a very effective CAFD yield for acquisition of dropdowns.
Michael Lapides: Got it? Thanks, guys. Much appreciated.
Operator: Your next question comes from line of Keith Stanley with Wolfe Research.
Keith Stanley: Hi, good morning. Just one question. We saw a pretty sizable thermal business sale recently, the smaller business for the company. So how do you think about thermal strategically within Clearway? Is that core to the company? And how would you think about value there?
Chad Plotkin: Sure, I mean, as you know, Keith we always kind of assess our portfolio for opportunities to drive value for shareholders. We've done dispositions previously in the past. I think there's no need to look at monetizing that asset. I think, the prices that are out there in the market are interesting to us. From our perspective, you know, district energy is a premier infrastructure asset class. There's only three large district energy portfolios in the US and we are one of them. We think it's a great business and a great portfolio of assets. So I think, from that view, there's obviously interest in the portfolio and we'll have to evaluate that. But I think for us, we're going to be --anything we look at can be extremely quite discipline. 
Keith Stanley: Great, Thank you.
Operator: At this time, there are no further questions. I'll turn it back over to Chris Sotos for closing remarks.
Christopher Sotos: Well thank you everyone for your time and appreciate the support. Thank you.
Operator: Thank you, ladies and gentlemen and conclude today's conference call. You may now disconnect.